Operator: Good morning and welcome to the Lindblad Expeditions Holdings Inc Fourth Quarter 2015 Earnings Conference Call. All participants will be in listen only mode [Operator Instruction] After today's presentation, there will be an opportunity to ask questions [Operator Instruction] please note this event is being recorded. I would like to turn the conference over to John McClain, Chief Financial Officer. Please go ahead.
John T. McClain: Thank you operator. Good morning everyone and thank you for joining us on the fourth quarter 2015 earnings conference call. I’m joint today by Sven-Olof Lindblad, our President, Chief Executive Officer, Ian Rogers, our Chief Operating Officer and Mark Ein, our Chairman is on the phone. So I will start by providing opening comments on the business and I'll follow the details on the results of the fourth quarter and full-year, before finally turning the call back to Sven for closing words. We will then open the call for your questions. Our press release for the fourth quarter of full-year 2015 was issued this morning and is available on our Investor Relations website. The company's comments today may include statements about expectations for the future, those expectation are subject to known and unknown risks, uncertainties and other factors that may include company's actual results and performance of future periods to be materially different from any future results or performance suggested by these expectations. The company cannot guarantee the accuracy of any forecast or estimates and we undertake no obligation to update any forward-looking statements. If you would like more information on the risk involvement forward-looking statement, please see the company's SEC filings. In addition some of our comments may reference non-GAAP financial measures and a reconciliation are most directly comparable GAAP financial measures and other associate disclosers are contained in the company's earnings release. With that, I would like to turn the call over to Sven.
Sven-Olof Lindblad: Thank you John and to those of you joining us. First the quick financial summary, we have had a very positive quarter which wrapped up a successful and transformative year for us. Revenue was $46.5 million, an increase of $1.7 million over 2014 representing 3.8% revenue growth. Net yield for Q4 of 2015 was $989 compared with $901 in 2014, a 9.8% increase primarily due to increase in pricing and some changes in the deployment of our vessels. Adjusted EBITDA was $4.7 million compared to $5.8 million in 2014, this does represent a decrease, but it's primarily due to our 96 passenger endeavors additional dry-dock in Q4 leading to five fewer voyage in that period. Total revenue for the full-year 2015 was $210 million an increase of $11.5 million or 5.8% compared to 2014 and the net yields were $971 compared to $950 for 2014. Adjusted EBITDA for the year was $46.8 million compared to $44.6 million in 2014. So a lot was accomplished in 2015, we completed our merger with capital acquisitions too. We entered into a new $175 million debt facility, which enabled us to repay our former debt and generate a substantial cash to be using the business. At the end of the year, we had $206 million on the balance sheet, this cash and the cash we generate from operations fully funds our current plans and enables us to pursue additional growth opportunities. We finalized plans and began construction on our new 100 passenger U.S. flagged vessels. We strengthen our fleet through definitive agreement to purchase a ship, the Via Australis a modern and effective vessels for our Galápagos operation. Just this week we finalized $45 million revolving credit agreement, which adds to our cash opportunities. We grew revenue by 5.8% and adjusted EBITDA by 4.9%. So it was a good year and we are really, really well positioned for the future. As with any year, there are some issues out there which have to be considered and managed. Stock market fluctuations, the emerging [indiscernible], lingering effects post Paris being the most the significant. The truth be known though is that each year there are variety of external affects that need to be faced, whether they are economic viruses, political et cetera. I believe our advantage is the fact that we are nimble, in other words our ability to alter roots if necessary at short notice and a highly educated clientele that has a significant ability to separate facts from perception. Advance booking for the first nine months were strong over the fourth quarter is slightly behind pacing, but we have plenty of runway ahead of us to correct that with focused tactical marketing. As of March 7, 85% of expected guest ticket revenue was on the books compared with 89 at the same period for 2015. Yields grew almost 10% in 2015 and occupancies stayed strong. For 2016, we see modest growth in yields and continued high occupancy. We will see accelerated top-line revenue as the new builds are completed in mid-2017 and then again in 2018 and mid-2019. Until then we are actively looking for opportunistic expansion, both in terms of businesses that we may acquire and ships that may be available to augment the fleet. We're also looking at potential new roots such as Cuba where expedition operations would be financially attractive and very popular with our audience. We are also deep into augmenting our senior management team in order to fully support our growth objectives. A major PR campaign is underway throughout the year to celebrate the 50th anniversary of my father Lars Eric Lindblad's first expedition to Antarctica, which literally gave birth to the idea of expedition travel. This is a significant milestone, which will be publically launched in newspapers and magazines in upcoming weeks along with a high profile series of events beginning at New York's Explorers Club on April 6. And working with National Geographic, we are accelerating the use of their vast media platform showcasing the values of expedition travel. Now just a quick update on fleet related plans. Our plan calls for adding two new 100 passenger U.S. vessels. The first for delivery in the second quarter of 2017, the second for Q2 of 2018. Contracts are finalized in December, construction has begun and we expect delivery according to plan. We announced the signing of a definitive purchase agreement of the Via Australis on December 31. We continue to expect delivery of the vessel in April and then after a refurbishment the vessel is planned for deployment in the fourth quarter of 2016 in the Galapagos Islands. Now I'd would like to turn it back to John for a more in-depth review of the financials.
John T. McClain: Thanks Sven. We had solid quarter and really pleased with how the year ended. Now I'll walk you through some review of the specifics. In fourth quarter, the company generated total revenue of $46.5 million representing an increase of $1.7 million or 3.8% from the $44.8 million in the fourth quarter of last year. The growth is primarily driven by $3 million of higher guest ticket revenues, derived from an increasing price and a change in vessel deployments. The increase in guest ticket revenues was partially offset by lower other revenues and this was primarily related to reductions and cancellation fees and insurance revenue. Additionally we had an increase in the amount of air incentives we've provided this year which was not offered in prior year. Now turning to the full-year of 2015, total revenues amounted to full-year 210 million, which is an increase of 5.8% compared with full-year 198.5 million in 2014. Key drivers here were the price increases and a change in deployments with an additional increase related to adding voyages on the chartered fleet. These were partially offset by a slight decrease in occupancy. We also saw a greater air ticket sales and cancellation fees linked to an increase in other revenue of full-year 1.3 million. Net yield in the quarter amounted to $989 compared to $901 in the fourth quarter 2014, which represents an increase of 9.8%. The change was primarily related to an increase of pricing and change in deployments in the quarter and net yield for the full-year was up 2.2% over 2014 at $971 compared with $950. We recorded 37,296 guest nights sold in the fourth quarter, which was flat to last year, but we had 4201 guests which is a 5.9% increase from the fourth quarter last year. The occupancy rate in the fourth quarter was 93.3% compared with 88.1% last year. Demand was very strong in the quarter while inventory was down due to the one additional dry-dock that Sven been mentioned on the endeavor. The full-year 2015, occupancy was 91.8 compared with 92.9, we increased capacity due to additional voyages and benefited from this increased inventory with increased revenue, but the overall occupancy is slightly down due primarily to the African, Indian Ocean, Pacific and Australia routes with the Orion which we previously mentioned on our last call. For the year, we recorded an additional 1820 guest nights sold a 1.1% increase and 1005 additional guests which is an increase of over 5%. Adjusted net cruise cost per available guest night amounted to $870 in fourth quarter of 2015 compared with $763 last year, which represents an increase of 14% and this increase was in large part due to the increase in the dry-dock cost as well as public company cost. We continue to benefit from a lower cost of fuel in the fourth quarter compared with last year, but the benefit in the fourth quarter was less than it had been in prior quarters. Fuel cost represented 4.7% of total revenue compared with 5.8% in the same period last year and this represents a 15.7% decrease in the fuel expense for the quarter versus last year. We've not hedged fuel prices historically, but continue to investigate the potential relative to our business model. Adjusted EBITDA for the fourth quarter was $4.7 million compared with $5.8 million in the same period last year. The decline is primarily due to the additional dry-dock costs that Sven mentioned. Adjusted EBITDA for the year was 46.8 which is an increase of 4.9% from the prior year and ahead of the financial projections that we furnished in 8-K that we filed with the SEC in April. On the liquidity front, we remain extremely well positioned to fund upcoming projects, we ended the quarter with $207 million in cash excluding $8 million of restricted cash compared with the debt balance of $174 million. Sven mentioned, we just finalized a new $45 million involvement credit facility, which provides with additional financial flexibility to explore our growth opportunities. Overall we are very pleased with where we stand at 2015 and we are on-track these on future objectives. With that, I’ll turn the call back to Sven for closing remarks.
Sven-Olof Lindblad: Thank you John. In summary, we really do have a tremendous opportunity in front of us and we are focused on making sure that we executive our plan and that we look for opportunities wherever they may arise and now we are happy to take your questions. Ein, John and I are also joined on this call by Mark Ein, our Chairman. And so please any questions you may have, we would be delighted to answer them.
Operator: Thank you Sir [Operator Instruction] And our first question will come from Greg Badishkanian of Citi. Please go ahead.
Frederick Wightman: Hey guys good morning this is actually Fred on for Greg. I just wanted to touch quickly, you noted the 4Q weakness for next year that you were seeing. Wondering if you could give us a little bit more info of that some specific like itineraries or destinations that you are seeing the softness and just if you look at the overall bookings, were down a little bit this year versus last year. Any more color and what you think it's driving that would be helpful?
John T. McClain: Well, I think Greg this is John, how you doing? You look at the total year, like you said the bookings are down about 2.8 million in total year-over-year, so it's really small differential, but as we look to the fourth quarter, there is no one particular issue just seems that the things have slowed a little bit and we work through with tactical and specific marketing, reworking itineraries. Sven had mentioned that that we are nimble, we can change things and we've look to change a few for fourth quarter now, and we will just continue working that process as we have in the past and we think we will be in good to position to make that up.
Frederick Wightman: Okay, are you guys seeing any impact from [indiscernible] or any ongoing impact from Paris, I think you briefly touched on that?
John T. McClain: Well. When you look at [indiscernible] we have had some calls where folks ask about it, not many calls and then ultimately most of the people are looking for information. We pass information that we have, we get a fair number of folks take no action, some move their date of travel and we have had a small number of folks that have canceled but it's not been a significant impact in terms of what we see.
Frederick Wightman: Okay, then just lastly, could you just touch on the thinking behind the new revolver, I mean is there something you guys have in mind that you are going to utilize that for or is it just sort of additional dry powder? How should we think about that?
John T. McClain: I think it's totally dry powder, I think one of the thing that always for me but neither as liquidity, because you never know what could be out there. So we are well positioned with this, but it certainly gives us financial flexibility to look and explore additional opportunities as they may come and we can continue to be opportunistic, but nothing that we need it for just good financial planning.
Frederick Wightman: Okay great. And just one more, if I could squeezed in, roughly $5 million in buybacks per quarters is that sort of how we should think about the cadence going forward?
John T. McClain: We had a $20 million authorization and we said we are going to be opportunistic with that and that’s really all we will say, not forecasting when just we have about not little more than nine and change less than and we will continue to be optimistic.
Frederick Wightman: Great thanks.
Operator: [Operator Instruction] The next question will come from [Martin Volken of Carolkon] (Ph). Please go ahead.
Unidentified Analyst: Good morning. Could you talk a little bit more about the acquisition of Via Australis? And if you could share what type of cash flow, EBITDA or any other metrics of earnings u guys expect after you fully integrate it and put it on your platform, compare to the purchase price. Any color which you can share would be helpful.
John T. McClain: This is John McClain. We don’t talk about specific ships and there is competitive reasons why we do that. What we had said in the announcement when we made the acquisition is that there was several reasons for the acquisition that being able upgrade existing fleet which then gives us certain opportunities to drive certain revenues and efficiencies. So our thinking behind that was a combination of strategic and financial, but we do not provide the guidance on ship-by-ship basis.
Unidentified Analyst: Okay, I understand fair enough. And at the time of the transaction the management of both company have shared their vision why you are bullish on the industry in which Lindblad accurate. I don't think you reiterated much of that after you came public. And may be just you know in high level strokes, if you could share some of the thoughts why you think demand will be able to absorb three new ships and whether you are worried about any new competitor entering the space. I think that will be helpful for the public.
Sven-Olof Lindblad: Sven Lindblad here. Well first of all as we've said all along, there is this tremendous baby boomer audience which is our primary audience 75 million strong in the United States, the wealthiest demographic in the history of human existence. There are international opportunities, there is a significant migration away from wanting to own things and to develop them and have experiences. So the demographics and the psychographics are played very, very well through expedition travel and given our legacy and given our history and the authenticity with which we have approached the market for the last 50-years. If you go back to Lindblad Travel and our partnership with National Geographic really puts us at the forefront of that kind of an idea. So we are very bullish on what we do for those reasons.
Unidentified Analyst: Excellent. Thank you.
Operator: And at this time we will conclude the question and answer session. I would like to hand the conference back over to Mr. Lindblad for his final thoughts.
Sven-Olof Lindblad: Well, thank you for those of you still on the phones, thank you for joining us. Again, we are very pleased with the quarter, we are very pleased with the year and we are very, very excited about the future. Thanks again.
Operator: Thank you sir. This concludes today's conference call. We thank you for attending today's presentation. You may now disconnect your lines.